Roland Carter: Good morning, everyone, and thank you for joining us. Today, I'll open with a reminder of our strategic actions that we announced in January and a few highlights of our fiscal year 2025 performance before handing over to Julian to walk through the numbers in more detail. I'll then come back to you to provide an update on our strategy. And as always, we'll have plenty of time for questions at the end. I would like to start by saying how pleased I am with the excellent progress we have made this year, operationally, financially and strategically. We are extending our track record of consistent financial performance and advancing the strategic plans we announced earlier this year to reposition Smiths and deliver significant value for all stakeholders. Turning to our strong financial performance, which came in ahead of our twice raised guidance. Fiscal year 2025 marks our fourth consecutive year of organic revenue growth, with group organic revenue up 8.9%, ahead of our 6% to 8% guidance. We expanded operating profit margins by 60 basis points at the top end of the guided range. We deployed capital in a disciplined and dynamic way with 3 accretive acquisitions and enhanced share buyback alongside a 5.1% dividend increase, marking 74 consecutive years of dividend payments. In January, we announced a number of strategic actions to unlock portfolio value and enhance returns. We are progressing the separation of Smiths Interconnect and Smiths Detection. And reflecting this, Smiths Interconnect is reported as discontinued operations in our full year results. The acceleration plan is progressing well. Initial benefits are being delivered, and we remain on track for the full benefits in fiscal year 2027. We are well positioned for fiscal year 2026 with a strong order book and expect 4% to 6% organic revenue growth with continuing margin expansion. We enter the next phase of our growth journey from both a position of financial strength and strategic clarity. The strategic actions we announced this year mark a pivotal moment for Smiths. We set out plans to be a focused industrial engineering company centered on high-performance technologies in flow management and thermal solutions. Our businesses are customer-centric, hold market-leading positions and operate in structurally growing markets. They have a high-quality financial profile with a strong through-cycle track record and with ample potential for above-market growth. This sharper focus, combined with disciplined capital allocation, positions us to deliver superior shareholder value through consistent execution, operational and financial performance and strategic delivery. Turning to fiscal year 2025 performance. Keeping our people safe is our #1 priority, and I'm pleased to see our safety record improved this year with our recordable incident rate being the lowest for several years. We delivered strong financial results with growth across all our key metrics. A great performance when one considers the impact of the cyber incident, particularly felt in John Crane, and the ongoing challenging macro and tariff backdrop. We invested organically as well, spending GBP 121 million on acquisitions to support and enhance future growth. We also increased returns to shareholders, and are now 80% through our GBP 0.5 billion share buyback program. Together with dividends, we have returned GBP 460 million to shareholders in the year, taking the total to GBP 1.7 billion over the past 4 years. With that, I'll now hand over to Julian to talk through the numbers in more detail.
Julian Fagge: Thank you, Roland, and good morning. I'm pleased to present our fiscal year 2025 financial results, which extend our track record of consistent performance delivery. Organic revenue growth for the group comprising all 4 businesses was up 8.9%, ahead of the already twice raised guidance of 6% to 8% growth. Reported revenue increased 6.5%, including a 1.4% contribution from acquisitions in Flex-Tek, partly offset by adverse foreign exchange. Operating profit grew 13.1% on an organic basis and 10.3% on a reported basis. Operating profit margin expanded 60 basis points to 17.4% on both an organic and reported basis at the top end of our guidance of 40 to 60 basis points. Earnings per share increased 14.8%, driven by the strong operating profit performance, supplemented by acquisitions and the benefit of our enhanced share buyback program. Return on capital employed was up 170 basis points to 18.1%, driven by profit growth and our continuing focus on efficient capital allocation, and we achieved strong operating cash conversion of 99%. As a result of the planned separation, Smiths Interconnect is now reported as discontinued operations, with its assets and liabilities classified as held for sale. This means that on a continuing operations basis, organic revenue grew 7.2% and operating profit grew 8.5%, with an operating profit margin of 17.3%. In line with our progressive dividend policy, we are recommending a final dividend of 31.77p, resulting in a total full year dividend of 46p, a 5.1% increase. Now turning to the results in more detail and starting with organic revenue growth. Delivering consistent growth above our markets is a key focus for us, and we've now delivered 4 consecutive years of organic revenue growth, averaging over 7% per year across this time period. This growth has been underpinned by the strong performance of our portfolio of leading brands, our focus on commercial excellence and innovation and new product development. Strong revenue growth translated into even stronger operating profit growth with a 60 basis point margin expansion to 17.4%. Growth was driven by operating leverage, particularly in Smiths Interconnect and Smiths Detection, continued price discipline more than offsetting inflation, and efficiency and productivity savings, which delivered 20 basis points of margin improvement. This included benefits from the Smiths Excellence continuous improvement program and initial benefits from the acceleration plan. Offsetting this was a 50 basis point negative effect from mix with higher growth coming from Smiths Detection and some negative product mix mostly within Flex-Tek. Earnings per share grew very strongly at 14.8%, driven by the organic profit growth, accretive acquisitions, the share buyback and lower tax and interest charges. Constant currency earnings per share grew 19.6%. Cash generation was very strong at GBP 576 million, representing a 99% conversion, reflecting disciplined cash and working capital management. CapEx was GBP 80 million, GBP 12 million higher than depreciation and amortization, but lower than originally guided, with a good amount, reflecting higher investment in automation capacity and testing in John Crane. Finally, we generated GBP 336 million of free cash flow, a conversion rate of 58%. Generating free cash flow remains a key focus for us as we execute our strategic plan. Turning now to the businesses. John Crane delivered organic revenue growth of 3% against a strong prior year comparator of 9.8% growth. Growth was led by original equipment, whilst aftermarket having been more affected by the cyber incident, recovered in the fourth quarter. Second half growth was impacted by operational challenges associated with the upgrades to our machining and testing capabilities and exacerbated by a longer-than-anticipated recovery from the January cyber incident. However, we saw sequential quarterly improvement with fourth quarter growth of 3.9%. Notable contract wins in the second half included a large-scale retrofit energy project in the Middle East and a large managed reliability program in Asia. In June, John Crane launched its coaxial separation dry gas seal, helping customers cut emissions, boost reliability and lower costs. John Crane operating profit grew 6.3% on an organic basis, with margin expanding 80 basis points to 23.8%. This margin expansion reflected productivity and cost efficiency improvements, price and initial savings from the acceleration plan. Looking ahead, healthy market demand, strong order intake alongside improved execution, supports our positive outlook for fiscal year 2026. Now turning to Flex-Tek. Organic revenue grew 4.4%, with a marked strengthening in performance in the second half. The acquisitions of Modular Metal, Wattco and Duc-Pac added a further 5.4% to growth. Flex-Tek's Industrial segment grew 4% despite challenging conditions in U.S. construction, reflecting increased demand for heat kits and flexible ducting products and new customer acquisitions. Revenue in the industrial heat segment was flat year-on-year, reflecting the phasing of a large industrial contract, which is due to conclude in the first half of fiscal 2026. The business is well positioned for future wins, strengthened by the acquisition of Wattco. A recent highlight includes a contract to supply electric heaters for a low-carbon electro fuel project in North America. And aerospace grew 6.3%, supported by a strong order book, reflecting ongoing aircraft build programs and renewed long-term agreements that position the business well for the future. Operating margin was 19.5%, down versus the prior year's strong comparator, which benefited from higher-margin industrial heat contracts. This underlying performance reflected positive pricing and efficiency savings, a positive contribution from acquisitions of 20 basis points, offset by mix impact. In the fourth quarter, we identified a nonmaterial balance sheet overstatement at a stand-alone U.S. industrial site, which had an GBP 8 million in-year impact on headline operating profit and a GBP 15 million impact on statutory profit relating to prior years. This issue was isolated to a single site, has been independently investigated and is now fully resolved. Looking forward, the U.S. construction market remains subdued, although we are well positioned to take advantage from its recovery, should mortgage rates moderate and given the meaningful U.S. housing inventory deficit. For aerospace, the strong order book underpins a healthy demand for the coming year. Moving to Smiths Detection. Revenue increased 15.2% organically, and we successfully converted a strong order book into revenue in both original equipment and aftermarket. We delivered significant growth in aviation with strong demand for checkpoint CT scanners, where we continue to a good win rate. Smiths Detection has now sold around 1,800 CTiX products globally, and is the first to receive the up to 2 liters recertification in the U.K. and the EU. It is anticipated that the global upgrade program will continue with the current level of cabin baggage activity into fiscal year 2026, along with the associated longer-term aftermarket revenue stream. The business is well positioned for the next upgrade cycle in hold baggage screening supported by the first X-ray diffraction-based system in the aviation sector. With 4 units already in operation and regulatory certification underway, this innovation marks a significant step forward in detection technology and reinforces our leadership in the sector. Other Detection Systems delivered improved performance in the second half with growth of 5.2%, following a first half decline on a strong comparator. The business had significant contract wins, particularly in ports and borders, including for large mobile scanners for customs and road cargo in the Americas. Looking ahead, a growing focus on border security is expected to drive growth. Operating profit grew 23.3% and operating margin expanded 80 basis points, reflecting the good operating leverage, improved pricing, a positive mix effect and efficiency savings. Underscoring the business' commitment to innovation, our iCMORE Automated Prohibitive Items Detection System became the first AI-driven platform to receive regulatory approval for live deployment now implemented in Schiphol Airport. Looking ahead, our multiyear order book remains strong, supporting a positive outlook for fiscal year 2026. Growth will continue to be supported by the aviation upgrade program, albeit at a more moderated pace. Finally, Smiths Interconnect increased sales by 22.5% organically. All business units grew with particular strength in the semiconductor test business, where we achieved large wins, particularly in high-speed GPU and AI programs. This performance reflected the strength of our product innovation, most recently, the DaVinci Generation V high-speed test socket designed to test advanced chips used in AI, data centers and computer processing. Aerospace and defense revenue grew 15.1% with strong demand for our differentiated technology in fiber optic, radio frequency and connected products. Here, Smiths Interconnect launched the EZiCoax interposer connector for high-value aerospace and defense applications, enabling secure, precise and reliable communications in systems like satellites and advanced radar. Operating profit was up 57.2%, with margin expanding 390 basis points to 17.8% as a result of the notably higher volumes as well as pricing, positive mix and significant benefits from efficiency programs. As part of the drive to maximize value through the separation process of Smiths Interconnect, we have agreed the sale of its U.S. subsystem business, a noncash impairment on disposal of GBP 30 million was recorded. Strong market conditions combined with key program wins underpin our growth expectations for fiscal year 2026. We take a disciplined approach to our use of capital. In fiscal year 2025, we continue to demonstrate consistency in line with our framework. Organically, we invested GBP 219 million in CapEx and RD&E, which includes customer-related engineering. We invested GBP 121 million in value-accretive acquisitions in Flex-Tek at attractive multiples and higher margins. We increased our total dividend by 5.1% to 46p per share and we paid GBP 152 million in dividends in the year. And we've now executed GBP 398 million of our GBP 500 million enhanced buyback program, which is on track to complete by the end of the calendar year. Overall, we have returned GBP 1.7 billion to shareholders in the form of dividends and buybacks over the last 4 years. We did all of this whilst maintaining a strong balance sheet, with net debt to EBITDA ending the year at 0.6x. Our disciplined approach to capital allocation combined with a clear focus on sustainable value creation is designed to maximize long-term returns and drive shareholder value. We will continue to prioritize disciplined investment for organic and inorganic growth and deliver enhanced returns to shareholders whilst maintaining a strong and efficient balance sheet. First, we are committed to supporting innovation, and expect to invest 3% to 4% of revenue in RD&E, enabling new product development and commercialization. Second, value-accretive acquisitions. We will continue to pursue disciplined acquisitions in core and adjacent markets, augmenting our organic growth and strengthening our competitive position. Third, a progressive dividend policy. We balance the cash flow needs of the business with our commitment to deliver consistent and meaningful returns to shareholders. And fourth, returning excess cash to shareholders. Where we generate surplus cash, we will return it to shareholders through share buybacks or other appropriate mechanisms, ensuring capital is deployed efficiently. We intend to maintain an investment-grade credit rating, and we will balance this alongside our desire to have an efficient balance sheet. Our credit rating is underpinned by our strong and consistent financial track record, leading market positions and significant share of recurring revenue. As we progress the separation of Smiths Interconnect and Smiths Detection, we remain committed to returning a large portion of disposal proceeds to shareholders. The scale of this return will be determined once we have clarity on the timing and magnitude of the proceeds. Importantly, this decision will be made in the context of our broader capital allocation priorities, organic investment, acquisition pipeline, dividend policy and leverage. Finally, let me take you through our outlook for fiscal year 2026 before handing you back to Roland. We expect organic revenue growth on a continuing operations basis of 4% to 6%, noting the strong first quarter comparator. This outlook reflects the strength of our order book as well as the ongoing macro environment with tariffs and increased geopolitical risks causing market uncertainty. In John Crane, growth is supported by a strong order book, solid momentum and improving operational delivery. For Flex-Tek, our outlook reflects a continued subdued view on U.S. construction, balanced against a strong aerospace order book. Smiths Detection will continue to grow, albeit at a moderated pace, supported by the aviation upgrade program. We expect continuing margin expansion driven by operating leverage, benefits from the acceleration plan and ongoing efficiencies through Smiths Excellence. And finally, we expect cash conversion to be around the mid-90s percent, reflecting continued investment for growth and strong underlying cash generation. In summary, while the external environment is challenging, our strategic positioning, operational discipline and our strong order book give us confidence in delivering growth, margin expansion and robust cash flow in fiscal year '26. And with that, let me hand back to Roland.
Roland Carter: Thank you, Julian. Firstly, I'll give a brief update on the separation processes. Then I'll turn to Smiths businesses and the opportunity for continued growth and margin expansion. And I'll end with our purpose, people and culture of high performance. We are fully focused on executing the strategic actions that will enhance returns to our shareholders and position Smiths for long-term success. We announced the separation of Smiths Interconnect and Smiths Detection earlier this year and are progressing these with pace and purpose, balancing value maximization with execution certainty. We continue to expect to announce a transaction in relation to Smiths Interconnect by the end of the calendar year, with completion anticipated in 2026. For Smiths Detection, we are progressing both the sale and demerger options ahead of a decision on the preferred route. Work streams are underway internally for both businesses to set them up for the separations. Following the separations, Smiths will be a focused industrial engineering company, specializing in high-performance technologies in flow management and thermal solutions with leading positions in these growing market segments, aligned with long-term structural megatrends. Our competitive advantage stems from our leading brands and engineering capabilities, our targeted investment in innovation and our product development and commercialization to meet customer needs. We have valued customer relationships based on our customized technologies, products and solutions with more than 70% aftermarket recurring or repeatable revenue. Our businesses have high-performance cultures centered on safety, our values, innovation and excellence. They have a strong financial profile of sustainable growth with high returns and good cash generation as well as organic and inorganic expansion opportunities. Empowered decision-making across our businesses ensure we remain focused on supporting customers to capture growth opportunities and deliver attractive and resilient growth with high returns. We operate a lean corporate center, delivering core competencies, including strategy, capital allocation, M&A and compliance. Here, we also present Smiths' pro forma financial metrics. Smiths generated GBP 1.95 billion in revenue in fiscal year 2025 with a pro forma operating profit margin of 19.6% and a 22.8% return on capital employed. We operate in the broad end markets of energy, industrial and construction, with 36% of revenue in energy, 38% in industrial and 26% in construction. With our strategic positions in these markets, we are aligned to some of the most powerful structural megatrends shaping the global economy, energy security and transition, resource efficiency and industrial productivity and sustainability that underpin long-term growth. These markets are expected to grow at a 4% to 5% CAGR over the next decade. Drilling down further into the subsegments of these markets, we are typically positioned in faster growth areas, including flow control, HVAC and industrial process heat. In energy, our mechanical seals enhance reliability across the oil and gas value chain, where we are seeing robust demand for traditional energy as well as increasing opportunities in new energy segments such as CCUS, hydrogen and biofuels. For industrial markets, the rising demand for process efficiency and emission reduction also supports growth in our flow control business. Aerospace continues to perform strongly with new aircraft build programs supporting demand for our fluid conveyance products. And investment in industrial heat electrification is providing significant potential upside for our process heat portfolio. The construction market growth fundamentals remain strong given the U.S. housing inventory deficit and our deep customer relationships and growing U.S. footprint, positioning us well to capture future demand in this highly fragmented market despite some short-term market challenges. Across all market segments, our solutions help customers reduce emissions, improve efficiency and use fewer raw materials, delivering both sustainability and performance. In summary, we are excited about the opportunities in our markets to deliver long-term consistent and sustainable growth. Our aim is to continue to deliver above-market growth over the medium term, underpinned by a resilient and recurring revenue base. This provides a strong foundation for sustainable performance. Our enhanced medium-term financial targets announced in March reflect our plans and strategic initiatives for above-market growth and include leveraging our installed base, brand reputation, customer intimacy and leading product expertise to deepen relationships with customers and expand our share of wallet. Commercial excellence, we will continue to enhance our operational processes to deliver exceptional customer service, enhancing customer value, incumbency and retention versus peers. Innovation. New product development and commercialization are key to sustaining growth. As examples, John Crane this year launched a new coaxial separation seal and is scaling digital solutions, including Sense Monitor and Turbo. Market adjacencies. We continue to target higher growth and higher-margin subsegments, geographies, products and customers, both organically and through targeted acquisitions. This multifaceted approach ensures that we remain well positioned to outperform in our markets over the medium term. Let's look at what we're doing in Flex-Tek, where we delivered robust growth in our construction business in fiscal year 2025 despite challenging U.S. market conditions. Building on the strength of our portfolio, we are leveraging our flexible duct product platform to drive deeper and wider penetration through our distribution channels and are adding new customers. We saw increased demand for heat kits with notable growth in key accounts, illustrating the importance of customer intimacy and higher-performing products. And our innovation remains a core growth driver. During the year, we launched the Blue Series, a redesigned sealed metal duct system that sets a new standard in performance and is already contributing to revenue. In our heat business, another launch this year supports ultra-low carbon emissions fuel with electric heaters that are being tailored for a cutting-edge electro fuel project. Both are great examples of how our innovative approach leads to new product design, which solves a key customer challenge. Our organic growth strategy is augmented by a disciplined and value-accretive approach to M&A. Acquisitions since 2018 supported a more than 13% CAGR in both revenue and operating profit at Flex-Tek alongside a 60 basis point margin uplift. This year's acquisitions, Wattco, Modular Metal and Duc-Pac strengthen our capabilities in heat transfer technologies and broaden our reach in U.S. construction. These acquisitions also allow us to scale into adjacent markets within our existing product portfolio. Adding new metal ducting businesses this year has increased our addressable market for our flexible ducting products by opening up new geographies and customers. So they are already contributing to growth and margin uplift, and we expect further benefits as we scale and integrate these businesses. For fiscal year 2026, we expect the construction market to remain subdued, although we will continue to drive the business forward to deliver against this backdrop. Turning to margin. Our journey to our medium-term target of 21% to 23% is supported by a series of structural and tactical initiatives, a combination of operational discipline, cost optimization and portfolio focus. First, operating leverage, actively driving a higher contribution margin as we grow revenue, for example, through price and product mix. Second, delivering efficiency savings and productivity improvements through Smiths Excellence. This year, through our Smiths Excellence Academy, we expanded our Lean and Six Sigma programs to reinforce our high-performance culture and scale operational best practice globally. Third, implementing our acceleration program, which is on track for GBP 40 million to GBP 45 million annualized benefits in fiscal year 2027 and beyond for a total of GBP 60 million to GBP 65 million of costs, whilst ensuring central costs remain at 1.5% to 1.7% of revenue. 2/3 of the costs and benefits relate to the retained businesses. And finally, evolving our product portfolio towards higher-margin products and market subsegments, including targeting a greater share of aftermarket, repeat or recurring revenue. Here, we show how operational excellence is supporting both revenue growth and margin expansion. Through our acceleration plan, we are simplifying, standardizing and automating core processes across engineering, manufacturing and supply chain functions in John Crane, including investment in advanced manufacturing technologies. We have upgraded automation and machining across multiple sites with a focus on high-precision applications. We have installed 72 new CNC machines and are adding 9 dry gas seal test rigs. These investments are enhancing throughput and quality, improving lead times, reducing waste and enhancing customer satisfaction. Our supply chain is being optimized to improve agility, resilience and cost competitiveness. We are consolidating manufacturing locations and centralizing transactional procurement and finance. These initiatives are delivering measurable benefits, including reduced lead times, improved pricing power and enhanced scalability and all contribute to growth and improving profitability for the business. Realizing these performance improvements underpin our confidence in the outlook for John Crane for fiscal year 2026 and beyond. As already mentioned, we set out new enhanced medium-term targets for fiscal year 2027 onwards. These targets are ambitious, yet achievable and reflect our confidence in our ability to deliver premium returns through the cycle and supports the superior rating for Smiths. At Smiths, our long-term success is built on enduring foundations, our purpose, people, values and commitment to excellence and sustainability. Our purpose is clear, engineering a better future and is embedded in our strategy, culture and decision-making. Our people are always at the heart of our business, and I would like to thank them for delivering the strong financial performance this year. Your dedication is very much appreciated. Our culture is built on our values and reflected in our high-performance mindset and commitment to delivering for our customers, communities and all stakeholders. We are making meaningful progress on sustainability. Our approach is informed by a double materiality assessment, ensuring our strategy reflects both financial and societal impact. These foundations are central to our pledge to create long-term value for all our stakeholders. So in summary, in fiscal year 2025, we delivered strong results, extending our track record of consistent financial performance. We have made great progress advancing our strategic plans to focus Smiths as a high-performance industrial engineering company. As a result, Smiths is very well positioned to deliver superior value over the medium and long term. We are growth and returns focused, highly cash generative and have a disciplined approach to capital allocation. We are confident that these strategic actions will unlock significant value and enhance returns to shareholders. Thank you for listening. Julian and I are now happy to take your questions.
Operator: [Operator Instructions] And now we're going to take our first question. And the question comes from the line of Lush Mahendrarajah from JPMorgan.
Lushanthan Mahendrarajah: I've got 3, if that works. The first is on John Crane. I think of the H2 organic growth is perhaps a bit lower than sort of the expectations at the Q3 point. I mean is that being driven by some of those operational issues being worse than expected? And then if so, I guess, where -- I know the Q4 has picked up, but I guess, how far are we from that returning to normal, I guess? And sort of how does that feed into sort of your confidence for growth in FY '26? It sounds like the orders are still positive there. So just how that all fits in, I guess, in terms of 2026. The second question is just on the margin guidance, obviously, continuing margin expansion is the sort of phrase you use. I guess can you help us just sort of quantify that a little bit and sort of what some of the puts and takes are? I think the acceleration plan should be quite a notable tailwind within that. But yes, just to help us sort of build that bridge, I guess. And then the third is on Detection. I think you're probably about 3 halves now sort of very strong growth on the OE side with the CT scanner upgrade. I think you said before it's over 2, 3 years of this. I guess where does the OE side peak in that sort of 2- to 3-year time frame? And then how should we think about sort of the aftermarket associated with those OE deliveries coming through over the next 2, 3 years? And I guess how that sort of plays into sort of the margin pickup in Detection over those years as well?
Roland Carter: Okay. Thank you very much. I'll try and answer those questions. So from the point of view of John Crane, yes, we saw the John Crane half -- the second half in John Crane. What was comforting in that is Q3 was better than Q2 and Q4 was better than Q3. So that was very, very positive for us. The operational issues have been a challenge. We highlighted that with the cyber that exacerbated, as I said, 72 CNC machines were being put in place, and we're heading towards 9 new dry gas seals. So that was that was exacerbated by the cybersecurity issue. We have been monitoring the key performance indicators, though, within the business, that's machining hours, both external and internal machine hours. Those are improving. We've been monitoring the number of engineering hours that we need because these are highly engineered products, and that's also improving. We did surge those hours, and now they're back to a very manageable level. And we continue to monitor on-time delivery, lead times, supplier performance, and these are all moving in the right direction. So that's associated with that strong order book that we're bringing into the year and the fact that we've seen a positive book-to-bill, and we have quite a view out into the marketplace of the activity in the marketplace, we feel positive that we'll see improvement on John Crane in fiscal year 2026. So pleased with how that's moving forward. Yes, did it move forward slightly slower in the second half than we thought it would? Absolutely, but the long-term health is still there within the business. On the margin, yes, as we said, continuing, and we mean continuing margin expansion on that. So we're seeing that inflation has somewhat moderated, but we still see that we have price in our portfolio. We've learned a lot of lessons about price through the inflationary period. So we see that as very positive. We also saw the initial stages of the acceleration plan. And you'll recall, 2/3 of that acceleration plan is around the future of Smiths. So we saw the early stages of that acceleration plan coming through, which was gratifying. We'll see about half of that coming through in fiscal year 2026 as well. So that will continue to build. And not forgetting underlying all this, although we don't call out the number, the Smiths Excellence number was strong this year. That was good. It grew again. Smiths Excellence really is starting to bed into the organization. And so that will be another benefit going forward. There are headwinds, and we recognize that there are headwinds of the macroeconomic -- the broader macroeconomic environment and tariffs. Our guidance takes account of tariffs and our current understanding. So we have those mitigations around that as well. So you can see why we are confident in saying that continuing margin expansion. Coming on to your third question, which was about Detection. So Detection is in a very positive area. You saw that the growth that we recorded this year, we'll see that somewhat moderate going forward in fiscal year 2026 because it has been exceptional, as you point out. The program on CTiX, it's an important but not the only piece of business that Smiths Interconnect (sic) [ Smiths Detection ] does. So it's an important part of the business, but one shouldn't forget the rest of the business, which is also doing relatively well. So from that point of view is we're still in the midst of that program. It still continues. We -- I think last time we spoke, we shipped about 1,600 of those. Now we've shipped about 1,800 of those. The win rate is as good as we highlighted, at least as good as we highlighted. So that still has a way to run, as we pointed out, through '26 and into '27 is what we are seeing there. So we're pleased with that going forward. Obviously, aftermarket, we've never been shy about talking about the stability of aftermarket. We've never been shy about talking about the margin of aftermarket, which are both very positive for us. So we see the aftermarket will come through not only on the CTiX, but as we roll forward with all the products that we install. So hopefully, those answer your questions, Lush. Thank you.
Operator: Now we're going to take our next question. And the question comes from the line of Christian Hinderaker from Goldman Sachs.
Christian Hinderaker: I want to start with Interconnect, if I can, 18.9% organic growth for the half. I think that was an acceleration from a low double-digit cadence in Q3. I just wonder if there's any change to note in the comp Q-on-Q or if that's all underlying? And then secondly, if I look all the way back to Page 85 of the report, APAC revenues for Interconnect have effectively doubled for the full year. That is -- is that all driven by the strength in semi test? And I guess, interested how we think about that regional dynamic for Interconnect, given the same table implies more than 90% of its assets sit in the Americas.
Roland Carter: Yes. So thank you. So from the point of view of Interconnect, we were very pleased with the growth in Interconnect. And it continues to be a very strong and well-balanced business, in fact. I think we shouldn't forget, yes, the headline is semiconductor test and the leading position and the excellent sort of products that we have within that are helping us move with the market. Not forgetting that this is also an operational challenge and the fact that we've set ourselves up incredibly well for delivering this amount of growth, which one should understand. So that mixture between operational excellence and product excellence has really delivered for us on that. We continue to see strong orders in that area. But as I said, not forgetting that this business is exposed -- over half of it is exposed to aerospace and defense, and we're seeing broadly across the business that, that market is definitely being positive going forward on that. I will let Julian comment on Interconnect as he's close to the business having previously run it very recently. But the growth in APAC also does reflect growth in semiconductor, but we don't see that, that changes the shape of the business particularly. But Julian, perhaps you want to add some more color?
Julian Fagge: Thanks, Roland. Not much to add. The -- we're particularly pleased with the semiconductor performance and particularly the strength of the business in AI, where we performed particularly strongly. It's true that a large portion of the business is in the Americas. We've had that strength in aerospace and defense, particularly coming through in the U.S. But no, very pleased with where Interconnect is as we go into the new year.
Christian Hinderaker: Second one, maybe for Julian. I just want -- just clarifying the charges on the balance sheet restatement in Flex-Tek. If I'm reading that correctly, GBP 8 million of the charge is within the adjusted earnings line and a further GBP 15 million one-off that further reduces your reporting earnings for the business. I just want to understand a little bit the rationale for that split and whether I've got that well understood.
Julian Fagge: Yes. So Christian, in quarter 4, we discovered what ended up being a nonmaterial balance sheet misstatement in one of our Flex-Tek businesses. When we dug into it, it was effectively covering multiple years, which guided our treatment with GBP 8 million, as you say, as a headline charge or indeed reflected in our reported numbers for 2025. And then we had the GBP 15 million charge to non-headline reflecting the balances for previous years. We thought that was the best presentation of the effect of this through our numbers so that we could show an appropriate organic performance in the year. I will just add that whilst unfortunate and something that we didn't want to have, this particular event has now been fully investigated. It is now fully resolved and the learnings from this have been taken forward into the rest of the business.
Operator: Now we're going to take our next question. And it comes from the line of Mark Davies Jones from Stifel.
Mark Jones: Can I just ask a bit more about the moving parts of Flex-Tek and the different end markets addressed? The risk of being picky, is 6% growth in aerospace relatively modest given the current trends in that industry? Is that related to the sort of supply chain issues we're hearing about in engines? Julian, I think you mentioned a big industrial electrical heat project coming to a conclusion in the first half of next year. Is that causing any kind of gap in the outlook for that aspect of the business? And then thirdly, I note that recent acquisitions have been weighted more to the construction end of the business despite the fact that, that market looks relatively soft short term anyway. Is that just availability in terms of where the opportunity to consolidate the market sits at the moment? Or do you think we should see acquisitions in other parts of the business, too?
Roland Carter: Thank you for those. From the point of view of the aerospace business, we're actually very pleased with the growth rate we're seeing there. We are working through any sort of supply chain challenges that we have. They're not major for us at all. So we are pleased with the continuing growth rate there. We're pleased with those relationships with the customers. So we will -- as we said, we are coming into the year on aerospace with a very robust order book and a positive book-to-bill ratio. So we see that coming through very strongly, and that's reflected in that 6%, which we think is a good number to think about on that one. On the industrial engineering projects, yes, we have the large project, which we continue to execute against. And we have a funnel of other projects in that area. So this is the programmatic part of Flex-Tek. So we will continue to build those programs going through. And you can see that we've indicated for Flex-Tek, we anticipate growth going forward in the fiscal year 2026. So yes, is it programmatic? Yes, absolutely. Do we have other projects coming in through the process? Absolutely. And that leads on to sort of construction. I think much of the numbers might not call it out to such an extent. The standout performance is construction because we know the U.S. market is very muted. We know it continues to be muted. We're not predicting an upturn in how we've looked at our numbers for fiscal year 2026. We are recognizing the market for what it is. There might be some good news, but we're not baking that in from the point of view of the rates and the putative rate changes that might happen. However, we think that we're in a -- an advantaged position within that market. And why? Well, we've got some empirical evidence. We continue to grow in spite of the market. We've got the new products coming through, which we mentioned the Blue Series that, that will be a changer. We've got Python coming through as well. So we've got the new products. But just as important as the innovation, we've got the customer relationships and the alignment with the correct customers, end customers to really make sure that we continue to outperform that. As part of the acquisitions, there were acquisitions in construction. And I think we see the megatrend. There is a deficit. We know there's a substantial -- several million homes are missing in America. We know it's going to take them perhaps a decade to sort of fill that deficit from that point of view. So the megatrend is correct for us. So our strategy is aligned with the megatrend. We're advantaged because of the way we play in that market as we are the people who are consolidating, which gives us me comfort about the R&D spend that we've got there because of the new products as well. So you start to put those things together and now is a good time to continue our strategy because when it does turn, you'll see the exceptional performance coming through from that. So the strategy being essentially long term. One of the acquisitions that we recently announced wasn't in construction. It was in heat. Heat is also another market, which obviously we touched on with the larger programs there, but we're very keen to both develop our presence and our routes to market within heat, but also to fill in technology gaps that we see within that and either through organic investment, but in this case, through inorganic investment.
Julian Fagge: I would just add to that, Mark, we do have a very active pipeline in Flex-Tek, and we continue to work that pipeline, and we do expect to see more acquisitions in this space as we go into the new year.
Operator: Now we're going to take our next question. And the question comes from the line of Margaret Schooley from Redburn Atlantic.
Margaret Schooley: I actually have 2, if you would. The first one, I'll just put up there. In terms of John Crane, again, organic growth, can you give us some indication of the split between what was volume and price?
Roland Carter: Yes. So from the point of view of where we've been in the past to sort of contextualize it, essentially, we did experience a lot of price growth in the past. And that also helped us develop the skills and the disciplines we need for managing price growth. What was pleasing this year was actually this year was more about volume growth. And that, I think, is important to me to say, yes, we're managing pricing. Yes, it's not quite such an inflationary environment. However, people are willing to pay for the John Crane brand. But really, we're now driving through volume. So -- would you like to give us some guidance on the split?
Julian Fagge: Yes, just to say that we've taken some additional price to reflect tariffs. But the -- as I say, as Roland said, the dynamic of volume and price has been positive this year.
Margaret Schooley: Excellent. And then my just second one, you mentioned some -- several new products in Flex-Tek, which is driving through growth. And in the presentation, you also mentioned in John Crane, the coaxial separation dry steel. Can you just give us a little understanding on the John Crane new product introductions? What markets you're actually targeting to further exploit? Or what other new products and adjacencies we should look forward to in FY '25 to continue to support your growth expectations?
Roland Carter: Yes. I think it was pleasing to see, and it does get a lot of focus from both Julian and myself because I think John Crane is an area where we can definitely improve the way we introduce products. We can improve what we're doing with our new product development pipeline. And I think I'm very keen on new product development, new technology development, new process development and new materials development. And I think John Crane, it will take time for these things to crystallize. But we can already see with the separation seal, the focus on getting products out there, getting products aligned with key customers and getting products aligned with key accounts to make sure they're adopted relatively quickly. I think there is that commercialization, which you'll see us focus on more and more about how do we improve the products that are already out there. So the products introducing new technologies, bringing them -- increasing their specifications and then these new products, which you saw in the separation seal. So you'll see that mixture coming through. Some of those -- the new products will be longer term. The upgraded products will be shorter term, more easily adopted, meeting customers' requirements. Underlying all that, what are the sort of broad fundamentals? Because the great thing about the John Crane seals is they're not necessarily an end market specific. Obviously, the end markets do drive it. But we're looking -- all these seals need similar characteristics and similar improvements in characteristics. What do I mean by that? I mean they need higher pressures. So we're developing the technologies that allow us to have higher pressures and the products that allow us to have higher pressures. They're looking towards higher temperatures. So we're developing the products and the platforms, I should really say that allow us to higher temperatures. And then the third one, which is very, very much a focus is high speeds. So -- and then if you mix those sort of 3 ingredients together, that can go for very traditional energy, that can go for hydrogen, that can go for LNG. So you can see all those markets, enjoy the benefits of those improvements. So I think we're becoming much more coherent on how we develop those products, which I think will benefit our customers ultimately.
Margaret Schooley: One last one, if I may, which might be slightly difficult to answer given where you are. But since the announcement of your strategic actions, in particular, on Detection, has your thinking evolved at all as you go through this exercise in separating some of the assets? Can you give us any indication of the level of interest or how the market backdrop has changed or in any way changed your thinking since the point you announced the strategic actions on Detection specifically?
Roland Carter: Detection, specifically. Yes. So on the broad approach, we're very pleased with the performance of those assets that we've highlighted for separation. So we knew it was a good time, and we knew they were performing well. We're pleased to see that continuing performance. So absolutely, the timing is working well for us on that. As we said, Interconnect, we will announce something at the end of the calendar year that we've seen -- we're continuing on that track, and we're working through that to announce something at the end of the calendar year. On Detection, again, we did a lot of the desktop and role playing on this to see how it would work. You saw the outcome of what that said, the clear sale of Interconnect, that was obvious. We wanted to make sure that we were value creating -- value creation is what this is about and surety of delivery. And that's where you see the demerger. We're running the twin track of demerger and sale process for that. The work that we're doing behind the scenes on separation is progressing as we anticipated. So I'm not going to give you a sort of blow-by-blow account, but that's essentially where we are. So yes, obviously, we're always thinking about the value creation and the surety. I wouldn't -- but the strategic direction was well set, and we're very sure that, that is the right strategic direction.
Operator: Now we're going to take our next question, and it comes from the line of Alex O'Hanlon from Panmure Liberum.
Alexandro da Silva O'Hanlon: Well done on a great set of results. Just 1 question from me. Could you give us an idea of the level of employee churn at Smiths and how that compares to recent history? I guess what I'm trying to get at is how are you managing the culture of the business during a time of transition? Is it a case that employees don't feel unsettled given that the businesses are already run very separately and maybe feel empowered, but just kind of any color you can give us on that would be greatly appreciated.
Roland Carter: Thank you for the kind comment at the beginning. So this is something we look at very carefully because it is one of those questions which one has to ask in these situations. And what we've made sure is that we've been clear and transparent with people and explain to them what's happening. And that's not only within the businesses that have been separated, but also the businesses which are being retained as well as head office, which we've spoken quite extensively about this 1.5% to 1.7% that our target is for central costs. So we do recognize that this is a moment in time and a difficult moment. I think of it -- people talk about transformation. I think this is a continuing journey for us. We fully intend to be moving at pace and always with purpose. So we have made sure that we're talking to everybody who we work with on this and preparing people for the necessary sort of questions that would be answered, make sure that we have a unified position to things to make sure that we're dealing with people, with equity as well. At the moment, what we're seeing in the figures is probably where you'd like me to get to is we're actually seeing our attrition at a slightly lower level than we've been seeing previously. I won't give you the exact numbers. But at the moment, what we're doing seems to be the right thing. Obviously, it does affect individuals, and we are acutely aware that it is a person-by-person thing. But at the moment, in the broad, we're not seeing the uptick one might have anticipated.
Operator: Now we're going to take our next question. And the question comes from the line of [ Stephan Klepp ] from BNP Paribas.
Unknown Analyst: I hope you can hear me well. So I have 3 questions. So the first one is on John Crane. Can we just talk again on the execution? I mean I know that you have been very vocal about the fact that it has never been an order problem and execution, obviously, due to the cyber incident was impacted. Well, your peers, your peers have outgrown you. The question is, did you lose some market share? Are your clients patient? And should that not even mean that some pent-up demand in the area? And having said that, shouldn't the visibility in John Crane be larger than normal because you couldn't basically get the orders out [indiscernible]
Roland Carter: Right. Struggled to hear that question, but I will repeat it to make sure I've got it and Julian, if you heard it better than me -- so you were asking about how the execution is affecting John Crane and particularly if we've lost market share and has that created pent-up demand, I think that was the question. And has that, therefore, created more visibility in John Crane. Yes, sorry, the line is bad.
Unknown Analyst: Sorry, the line is probably bad. Sorry for that.
Roland Carter: That's all right. So from the point of view of the delivery in John Crane, as I said, Q3 was better than Q2, Q4 was better than Q3. But we are ramping up. The cyber incident was definitely an issue for us around engineering, as I mentioned before, but more broadly for John Crane being the most integrated of our businesses. During that period, we obviously were talking to customers. We were obviously making sure that the customers were comforted with that. This is a very sticky business, as we know, although there are opportunities to gain market share as we've laid out. So we were very aware of that and made sure that we worked through that. Now we are on the path to recovery. As I said, our machining hours, both internal and external are up. Our engineering hours are now stabilized, having gone through a surge to do the deal with the heart of what was the issue, which was we locked down our drawings to protect them and then took time to release our drawings back. So leading indicators on lead time, on supplier delivery, those are all moving in the right direction. So we will see over time that developing. The answer to what about the order book and what about your visibility, what I pointed out through this period, we have a strong order book. So that was a positive. We also are starting to reduce our own lead times in this period, and we have a positive book-to-bill ratio. And as we've talked to previously, yes, there's a book-to-bill ratio that the orders actually coming in, but also we have visibility into our customers' programs, which are long-term multiyear programs. So we do have that visibility. So we believe if you think about where our guidance is on the 4% to 6%, I think it would be fair to say that John Crane will be at the top end of that guidance.
Julian Fagge: Roland, I'll just add there that the aftermarket saw some slippage in Q3 around the cyber event. Of course, it's very difficult for anyone else to pick up our aftermarket. So what we're expecting to see is aftermarket returning as our operational improvement starts to come through. And we did see an improvement in aftermarket orders through Q4.
Unknown Analyst: And the second question is Interconnect. I mean...
Operator: Excuse me, Stephan. Please accept my apologies. Your line is very breaking up. I believe our speakers will be not able to hear your question. Please, can you adjust the volume.
Unknown Analyst: One second. Can you hear me better now?
Roland Carter: Let's try. Let's try.
Unknown Analyst: Yes. I'm very sorry for that. I don't know what's going on. On Interconnect, I mean it is very good news that you are very far in the process and say that at the end of the year, we're going to see the divestment. Is it right from the capital allocation perspective that in this big transition that you're going through, larger deals on the M&A side are off the table? And should we mentally earmark the proceeds of Interconnect all to be deployed for share buybacks?
Roland Carter: Do you want to take that one, Julian?
Julian Fagge: Yes. Thanks, Stephan. So yes, just to repeat the point Roland made, the sale process for Interconnect is progressing well, and our plan to announce that by the end of the calendar remains in place. In terms of the use of proceeds, again, we've been clear that our intention is to return a significant portion of proceeds to shareholders, although we haven't yet determined or agreed the mechanic. In terms of our capital allocation, again, we've been pretty clear on this in that we allocate our capital to develop and generate the very best returns. And of course, that's illustrated in our very strong ROCE performance in '25. We'll continue with that. We'll allocate capital organically, and Roland has given us some insight into some of the organic R&D investments and programs that we're pushing forward with. We have the investment into the acceleration plan, which is delivering the returns that we expect to see next year. And then inorganically, we will continue to work an active pipeline of inorganic acquisitions. We will continue to see acquisitions as an important part of our story as we go into the future, particularly in higher value, high-return adjacencies in both John Crane and Flex-Tek.
Operator: And now we're going to take our last question for today. And it comes from the line of Dylan Jones from Kepler Cheuvreux.
Dylan Jones: Just a few quick follow-ups. The first one, just on the Flex-Tek restatement, the GBP 8 million that go through the headline number. So if this is a balance sheet restatement, can we expect to get all of this back in FY '26 and going forward? Or is it more of a realization of an accounting policy that was being applied appropriately and it's going to sort of remain in that sort of cost base in future years? And then just the second question, you obviously touched on some of the R&D and innovation qualitatively, what's sort of going on there. But I guess just given it's sort of more looking at future Smiths, it's sort of identified as one of those areas where you can get that sort of above-market growth. Just wondering how we should think about that, whether it's a step-up in sort of R&D in that Flex-Tek and John Crane business that would need to sort of capture that higher level of growth with the product innovation? Or is it more just a concentrated focus on those 2 businesses should enable a higher level of growth from the innovation piece?
Roland Carter: Do you want to take the first?
Julian Fagge: Yes. Thanks for the question. So of the GBP 8 million that was charged to this year's Flex-Tek profit, we expect some of that to come back next year, but not all of it. That's not necessarily because there's any repeat of the problem. Of course, what it really is, is getting to a point as to understand what is the fundamental underlying profitability of that business as we look out into the future, and the business is working through that as we speak. But some of it will come back, but we're not guiding on the absolute amount.
Roland Carter: And then on the R&D, this will be very much a focus. So as some of you will know, my background is innovation and R&D. And I think with that focus and some of those points I was talking about, about enhancing the products within John Crane in that sort of product technology, process and materials approach. So really getting the products we have fit for the future and then developing the products, the long term, new products is important as well. So you'll see that focus, and it's very pleasing to see the separation seal come through, but you'll see that focus really start delivering. And it's not just about the new product development, it's about the new product commercialization, making sure that we've got the customers, those key opinion leaders, those key accounts ready for those products as well, almost co-collaborating in some cases, hopefully, with that. So we'll see that driving through on John Crane. And for me, Flex-Tek, the focus on Flex-Tek, the Blue Series is really the most recent. But really, there is a lot of innovation about Flex-Tek because Flex-Tek is so close to its customer. And I think there might be a little bit more -- I'd like to see a little bit more discipline driven through that capture of requirements. But yes, I think you'll see Flex-Tek. I mean you look at the numbers, you say they don't spend a lot on RD&E. But relative to the competition in absolute terms, they do spend and they -- I think they can turn into a real market leader on the innovation as well as the market leader where they already are. Just the same way we saw the effect of R&D on the growth rate that we see within Detection recently or the growth rate that we saw in -- we now see in Smiths Interconnect with that focus on semiconductor that they had, for example. So yes, I think expect more on the innovation side from us, but not necessarily spending more money on that.
Operator: Dear speakers, there are no further questions for today. Thank you for joining the conference today. You may all disconnect. Have a nice day.
Roland Carter: Thank you very much.
Julian Fagge: Thank you.